Operator: Thank you Good morning. My name is Joanna, and I will be your conference operator today. Welcome to Canfor and Canfor Pulp's First Quarter Analyst Call. All lines have been placed on-mute to prevent any background noise. During this call, Canfor and Canfor Pulp's Chief Financial Officer will be referring to a slide presentation that is available in the Investor Relations section of the company's website. Also, the companies would like to point out that this call will include forward-looking statements, so please refer to the press releases for the associated risks of such statements. I would now like to turn the meeting over to Susan Yurkovich, Chief Executive Officer and President of Canfor Corporation. Please go ahead.
Susan Yurkovich : Thank you, Joanna, and good morning, everyone. Thanks for joining the Canfor and Canfor Pulp Q1 results conference call. I'm going to start by making a few remarks before I turn things over to Stephen Mackie, Canfor's Chief Operating Officer and CEO of Canfor Pulp; and Pat Elliott, Chief Financial Officer of Canfor and Canfor Pulp. In addition, in the room today, we're joined by Kevin Pankratz, our Senior Vice President of Sales and Marketing for Canfor, and Brian Yuen, our Vice President of Sales and Marketing for Canfor Pulp. Following the completion of several strategic initiatives in recent years, Canfor is entering 2025 with a lower cost globally diversified lumber platform and a strong balance sheet. While there remains significant uncertainty with respect to the broader economic landscape with the ongoing trade disputes, we are positioned to navigate the current environment supported by the transformation of our lumber business in recent years. With this uncertainty, we expect demand to remain tepid in the short-term, but continue to believe that global market fundamentals remain strong for our lumber business and we're well-positioned to capitalize on improved demand over the medium to long-term. Although lumber pricing is anticipated to remain volatile through 2025, significant supply rationalization contributed to higher pricing to start the year supporting improved results in the first quarter. In addition, we've started to see the benefits of our significant capital investments in our U.S. Southern operations and the improvements in our underlying cost structure, 40% of our volume now produced in the U.S. South this quarter. While it will take some time to fully ramp these investments, the transformation of our business in recent years has set us up to be more resilient, better able to mitigate market related pressures and deliver more stable returns over the cycle. And while we expect to enter into an elevated duty environment later this year and there remains significant uncertainty around tariffs and the ongoing Section 232 investigation, less than 20% of our total sales revenue is exposed to duties or trade disputes. In these challenging times, Canfor continues to maintain a strong balance sheet with significant financial flexibility to manage the current headwinds facing our industry, and this balance sheet strength also allows us to continue to pursue strategic growth initiatives should the right opportunity arise. Although we will continue to maintain a disciplined approach given the current economic conditions. Finally, with a more modest capital plan in 2025 and significantly improved asset base, we expect Canfor to opportunistically repurchase shares through the year under our normal course issuer bid. I'd now like to turn it over to Stephen Mackie to provide an overview of Canfor Pulp.
Stephen Mackie : Thanks, Susan, and good morning, everyone. Canfor Pulp generated solid financial results in the first quarter supported by improved productivity, modestly higher pulp sales realizations and another strong quarter for our paper business. Our sales realizations benefited from a weak Canadian dollar and a strong pulp pricing in China to start the year, although momentum weakened towards the end of the first quarter given rising global economic and trade uncertainty. We anticipate lower pricing in the second quarter as trade disruptions weigh on market conditions. Notwithstanding current macroeconomic conditions, Canfor Pulp is well-positioned to manage volatile markets given our unique high strength fiber characteristics, market diversification efforts and specialty product focus. In terms of our operating performance, we've seen improved operating results in the last couple of quarters with higher productivity contributing to a 6% increase in pulp production and a lower unit cost structure in the first quarter. While we have made progress in stabilizing our operations and currently have adequate chip inventories, there remains uncertainty with respect to fiber supply later this year due to elevated software lumber duties and the current trade environment. As an organization, we continue to focus on operational performance, while closely managing our cost structure and optimizing the economically available fiber supply. I'll now turn it over to Pat to provide an overview of our financial results.
Pat Elliott : Thanks, Stephen, and good morning, everyone. In my comments this morning, I'll speak to our first quarter financial highlights, a summary of which is included in our overview slide presentation located in the Investor Relations section of Canfor's website. Our lumber business generated adjusted EBITDA of $61 million in the first quarter, up $44 million from the previous quarter reflecting the benefit of increased lumber prices in North America, continued steady earnings in Europe and an improvement in our underlying geographic mix and cost structure. Our results benefited from an 18% increase in Southern Yellow Pine production driven by the ongoing ramp up of our recently completed Greenfield sawmill in Alabama and Brownfield investment in Arkansas. In Western Canada, production decreased by 18% following the closure of several high cost operations in British Columbia in late 2024. Overall approximately 70% of our production in the first quarter originated outside of Canada with 40% of that in the U.S. South. This reflects a significant transformation of our lumber platform following the completion of several strategic initiatives in recent years with an improved geographic mix and cost structure supporting profitability despite the current challenging macro environment. Turning to our pulp business, Canfor Pulp generated adjusted EBITDA of $21 million in the first quarter, up $9 million from the prior quarter reflecting the benefit of higher sales realizations and a 15% increase in shipments attributable to improved productivity and favorable timing of shipments over quarter-end. At the end of the first quarter Canfor Pulp had net debt of $72 million and $82 million of available liquidity, while Canfor excluding Canfor Pulp and the duty loan ended the first quarter with debt of approximately $94 million and available liquidity of $1.3 billion. On a consolidated basis, capital expenditures were approximately $122 million in the first quarter, including approximately $9 million for Canfor Pulp. Following completion of several major capital investments in recent years, we are anticipating significantly lower capital spend in 2025 with approximately $250 million of capital spend projected for our lumber business, including final payments associated with our Alabama greenfield, the planned investment at our recently acquired sawmill in El Dorado, Arkansas and an ongoing Brownfield planar investment in Sweden. For Canfor Pulp, we are currently forecasting capital spend of $45 million in 2025 including capitalized maintenance. We also anticipate Canfor will allocate a modest amount of capital to opportunistically repurchase shares throughout the year under our normal course issuer bid, which we renewed in March. And with that, I'll turn it back to you Joanna for questions from the analysts.
Operator: [Operator Instructions] First question comes from Sean Steuart at TD Cowen.
Sean Steuart: Thanks. Good morning, everyone. Susan, get interested in your initial couple of months in the seat, thoughts on opportunities, optimize the portfolio and was interested in your comments with respect to having some dry powder for potential growth initiatives outside the discretionary CapEx opportunity. Any context on specific areas or product lines for M&A that might be of more interest than others?
Susan Yurkovich : Thanks. Thanks. Obviously, we've we made some very significant changes to our platform, in recent years, particularly, our platform here in British Columbia. And we continue to look at that across our system. We want to make sure that we have that we're continuing to optimize our portfolio. In terms of what we're looking at going forward, obviously, we're grateful that we have the balance sheet that we have to continue to evaluate opportunities. We're looking at expanding our product mix where we can, and we want to continue to be able to invest in our business across in the U. S. we're looking at Europe and we're keeping our eyes open for those opportunities as they come. But obviously, we're going to be super disciplined given the environment that we're operating in.
Sean Steuart: And with the volatile capital markets and economic outlook in general, is there a sense that vendor, asks for valuations to come in a little bit for potential acquisition opportunities?
Susan Yurkovich : Yeah, maybe. I mean, I think we're, yeah. I would just say maybe they are.
Sean Steuart: Okay. One other question. We've seen a convergence of SPF and Southern Pine prices since mid-March. Thoughts on sustainability of that trend as deposit rates increase later this year and potentially get coupled with tariffs under Section 232. I guess the question is, do you think this recent convergence is sustainable? And what do you think about spreads going forward over the midterm?
Susan Yurkovich : Yeah. I'm going to get Kevin to ask.
Kevin Pankratz: Sure, Sean. Good morning. Yeah, I think directionally, I still believe that SPF pricing is going to be at a premium in the long-term. I think in moments of volatility, Sean, you're going to see moments where it's going to be offset that, especially in the 2/4. But if you look outside 2/4, you're already seeing pretty well established spread premiums on like the 6 inches shaded and 10 inches versus Southern Yellow Pine. But I think directionally and as demand normalizes and we get outside of this duty environment, I think you will see a bit more of a premium on the SPF pricing. So I think we'll monitor that. And in a duty environment, as we've seen in March and April, there was a corresponding market response as far as the price appreciation. So I think there's a lot of moving pieces on that piece, but directionally, I think we're on that path.
Operator: The next question comes from Ketan Mamtora at BMO Capital Markets.
Ketan Mamtora: Thanks for taking my question. I'm just curious, just following up on Sean's question. Can you talk about sort of what's driving this pretty meaningful drop in SPF prices that we've seen over the last couple of months? We had capacity curtailments late last year as well. So if you want to just I mean, I'm curious, one, sort of what demand trends you're seeing, and kind of what's driving this drop in SPF prices?
Kevin Pankratz: Sure. Sure, John, it's Kevin here again -- Sorry, Ketan. So on the demand side, obviously, we -- I think in this April, May season, we haven't seen the traditional big spring demand that we would normally see. So there's something on the demand side that's correlating with weaker consumer confidence numbers and builder confidence numbers. And so I think that's part of it. Also a lot of volatility with the tariff environment that we saw. I think every time, like it started March 2, April 3, there's always that element there and I think the market is rationalizing with that piece there that's contributing to it. And so I think there's a couple of different variables there. And demand side, we're just going to have to see how that plays out here in Q2, and then that will help, of course, if there's a bit of a pickup there, that'll help support that trend. But SPF pricing moved dramatically in the in December until April. So that's quite a lift. And so you're coming off some pretty rapid responses. So it's not unexpected to see some kind of moderation in the two by four SPF price.
Ketan Mamtora: I see. Okay. Got it. And then, I'm just curious with these deposit rates likely going up in the back half of this year. You've obviously made number of changes to your operating posture up in DC. But with this big jump coming, can you talk about sort of what's your approach in managing the different regions? So that clearly you've got Europe, you've got meaningful production in the U.S. South as well. So can you talk to kind of how you sort of think about your approach to production when duty rates go up?
Susan Yurkovich : Yeah. So, obviously, we've made a lot of changes to be we've been knowing that we're going to be facing, higher duty rate environment for some time, and that's why we've made these very difficult decisions. We have less of our business operating in Canada for sure and about, as we mentioned, about 20% exposed to these duty -- the duty environment. I mean, it's the benefit of having a diversified operating platform. We operate in Canada, in the U.S. and also in Europe. If you look at our European operations, just for a minute, we have so many options around there to sell. We have a lot of we have great quality fiber, lots of options around product mix, and also lots of markets different markets to sell it to. So if one market is not performing, we can switch to another. And so, I think that's what we've been doing to be able to withstand what we knew was coming in. Of course, we expected the softwood lumber duties. We had not perhaps anticipated the IEEPA potential duties or the $2.32 tariffs. That's new. But all -- but as Kevin said, you know, each time the duties have been talked about, the market has responded. Futures went up. We some of that gets priced in, and it certainly makes it more expensive for customers who want to buy our product, which of course, will have an impact it could have an impact on demand. So we're watching that. But, I think what we have done is set ourselves up to the best extent possible to be able to withstand this volatility and this market uncertainty associated with these ongoing trade disputes. Our hope is that things will resolve and we will find a way forward and that would be an advantage not only for our industry but for many others.
Ketan Mamtora: Susan, have you all done any kind of scenario planning around, when duties go up and if we assume that demand slows down, and then the question becomes who bears the cost of these increased duty? In the event that prices don't rise to the same degree, kind of what is the approach then?
Susan Yurkovich : Yeah. Well, have we done scenario planning like all day every day? Yes, because it's been a very interesting operating environment. But, look, there has to -- my expectation, if you look back at the history on the trade file, when duties come in, there is generally a price response, and it goes up usually a little bit higher and then moderates up. Now is past history, going to be what happens in the future? It it's unclear. But I will say, none of these regions selling into the U.S., if there is these extremely high duty, amounts, they can't withstand it. So there's either going to be a price response or people are going to have to shut down or curtail. And, of course, what we know is, despite maybe some assertions that there is enough domestic supply in the U.S. to meet demand, that's just not the case. There is about a $14 billion board foot-ish gap, give or take, between what's produced and what is consumed in the U.S. So there is demand that will not be met, and that means that, yeah, either people won't be able to access their products and there'll be a slowdown, and that has other implications for the U.S. economy or there will be a price response, which also, of course, will have an impact on affordability. So yes, we've been looking at all kinds of scenarios. It's very interesting time to be operating, and we're doing lots of scenario planning. But what we are doing is we're focusing on the things that we can control and working hard to make sure that our assets are running optimally and focusing on cost control and making sure that we're delivering our products to our customers.
Operator: [Operator Instructions] Next question comes from Matthew McKellar at RBC Capital Markets.
Matthew McKellar: Good morning. Thanks for taking my questions. First for me, it sounds like you're expecting an uplift in European lumber prices in Q2 but also higher log costs. Are those essentially offsetting each other so far through the quarter or should we be thinking about some margin compression or expansion here? And then would you expect to modulate your production levels at all in Q2 versus maybe Q2 last year to contain those log costs a bit?
Pat Elliott : Yeah, Matt, it's Pat. I think it's hard to say. I mean, we've seen actually pretty robust pricing opportunity in Europe, more than maybe our team there had expected. And so I'd say it's still a little bit dynamic. I think there is an opportunity to protect the margin in the second quarter. So as you know, the suites take a lot of downtime in July, and so there'll be a big block of downtime in July. But at this point, we don't have any other downtime planned for the second quarter.
Matthew McKellar: Okay. Thanks, Pat. And then last for me, just thinking through the comments around duties and what those could potentially apply for your fiber supply for the Pulp business. What kind of change in lumber production levels in the area around Prince George or however you define your procurement area would potentially create an issue for your pulp production volumes or at least drive higher input costs to the extent you could consume more pulpwood?
Stephen Mackie : Hey, Matt, it's Stephen here. Yes, there I mean, where we're at today is we do have sufficient supply to and reasonable sort of visibility to a line of sight of supply that will support our current operating platform in Prince George out through the balance of this year and into well into 2026. So we're encouraged by the progress that we've made, certainly relying on a higher percentage of whole log chip and pulpwood than we had historically given some of the capacity reductions in the lumber space. There's obviously the uncertainty associated with duties and the response that may come in lumber production as a result of duty implications or implementation. But as Susan, I think articulated really well, we do anticipate a market price response and we're cautiously optimistic that we'll have sufficient supply to support the operating capacity. But we'll obviously respond as it's pretty volatile and dynamic situation, and we'll respond if we see changes.
Operator: Thank you. We have no further questions. I'll turn the call back over to Susan Yurkovich for closing comments.
Susan Yurkovich : Hey. Thank you, Joanna, and thanks all for participating in the call today, and we'll look forward to chatting to you next quarter.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your lines.